Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Twist Biosciences Fiscal 2022 Second Quarter Financial Results Conference Call. [Operator Instructions]. I would now like to turn the call over to your host, Angela Bitting, SVP of Corporate Affairs and Chief ESC Officer.
Angela Bitting: Thank you, operator. Good afternoon, everyone. I would like to thank all of you for joining us today for Twist Biosciences conference call to review our fiscal 2022 second quarter financial results and business progress.  We issued our financial results release this afternoon, which is available at our website at www.twistbioscience.com.  With me on today's call are Dr. Emily Leproust, CEO and Co-Founder of Twist; and Jim Thorburn, CFO of Twist. Emily will begin with a review of our recent progress on Twist businesses. Jim will report on our financial and operational performance. Emily will come back to discuss our upcoming milestones, and directions, and we will then open the call for questions. [Operator Instructions].  As a reminder, this call is being recorded. The audio portion will be archived in the Investors section of our website and will be available for 2 weeks.  During today's presentation, we will make forward-looking statements within the meaning of the U.S. federal securities laws. Forward-looking statements generally relate to future events or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize, and actual results in financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today as well as those more fully described in our filings with the Securities and Exchange Commission.  The forward-looking statements in this presentation are based on information available to us as of the date hereof, and we cannot, at this time, predict the full extent of the ongoing impact of the COVID-19 pandemic and any resulting business or economic impact. We disclaim any obligation to update any forward-looking statements, except as required by law.  With that, I'll now turn the call over to our Chief Executive Officer and Co-Founder, Dr. Emily Leproust.
Emily Leproust: Thank you, Angela, and good afternoon, everyone. During the second quarter, we continue to serve a growing list of customers, delivering record revenue of $48.1 million and $55 million in orders. Of note, our revenue for the first half of fiscal 2022 is equal to our revenue in all of fiscal 2020 at $90.1 million, illustrating our rapid growth and continued commitment to executing quarter-over-quarter.  We have increased our revenue and customer base in the face of macro supply chain description and market uncertainty and have extended our employee base with our lowest turnover rate even in the midst of the great resignation. We have been successful to date, and we believe we will be successful moving forward because of our employee and unique culture where we use our grit to make an impact each day in service and trust of our customers and each other.  During the quarter, we added to our balance sheet in the midst of a difficult market where growth stocks are out of favor. We see a robust opportunity and potential ROI that can result from investing in vertical market segments. At the same time, we are already keeping resources in a fiscally responsible manner. We are working diligently to balance the drive to profitability with significant upside from new products and new markets, including data storage.  We remain committed to achieving adjusted EBITDA breakeven for the core business at $300 million in revenue with the core business being defined as Symbio and MDS. When we reach that point, we expect to have options for data storage specifically that could further mitigate our spend.  We understand that particularly in this market environment, it is critical to both execute quarter-on-quarter to drive revenue growth and manage expenses to have a demonstratable path to profitability. We are doing both. And we are finding that our value proposition resonates in an environment where the funding for our customers that is more difficult since we are the high-quality, low-cost leader.  To review the second quarter, for synbio, we reported revenue of $18.4 million with strong order of $23.6 million indicating continued growth ahead. We achieved several milestones in April to increase our gin capacity, which will allow us to accommodate both the ongoing uncertain as we bring up the factory of the future schedule for the beginning of July, with shipping from this facility starting in January 2023.  We announced a new 4-year supply agreement with Ginkgo that includes a minimum of $58 million in diverse product purchases over the lifetime of the contract. Over and above the minimum commitments includes the capability to access significantly more product from Twist to meet their needs moving forward.  As we seen by industry evolves, we continue to increase our revenue and expand both our customer base and market share, and therefore, we do not anticipate Ginkgo revenue will become material to us.  Last week, we launched commercially our Twist high-throughput antibody production or IgG product. This is an exciting gene to antibody production platform that enables customers to turn candidate DNA sequences into purified antibodies for therapeutic discovery and screening applications and a product we believe has tremendous potential with the select customers.  To facilitate our continued growth, the Factory of the Future remains on track, and we expect to begin shipping products on this site in January of 2023. We stand ready to meet the needs of Ginkgo as well as many additional customers.  In parallel, we are advancing our enzymatic synthesis approach and one of Twist early patent applications in this space published in April. Recall that we are developing a low-cost scarless azelaic process to sensitize DNA that we expect to use for enterprise data storage offering. We expect to continue to use for some chemistry as our primary method of DNA synthesis for the immediate and near term.  And once we developed, we will add applications that are amiable to enzymatic services. This could be a decentralized OEM option or self-free creation of blended DNA or other markets we are not serving today.  For NGS, we reported revenue of $23.1 million and orders of $23.6 million. Last quarter, we talked about liquid biopsy and minimal residual disease. And during the quarter, we signed a partnership with C2i Genomics to develop reference materials for a genome cancer detection for minimal residual disease.  While we are not able to announce every customer, as some want to share that we are part of their secret sauce, this is a great example of how we enable innovative workflows to ultimately benefit patients with cancer.  We continue to work with many liquid biopsy companies. We are developing new diagnostic tests for a wide range of cancers. As a whole, the industry has been slower through commercially, though traction is building.  As Jim will share, we continue to expand the number of customers we serve in NGS, with the top 10 accounts resulting in about 1/3 of our revenues for the quarter. Our expanding customer base has decreased our reliance on any one customer, while positioning us to scale with the organizations as they commercialize and thus scale their regime significantly.  Ultimately, [indiscernible] application, we are focused on dominating the workflow between the sample and the sequencer. This includes labor, [indiscernible], bit buffer, blocker adapters and all reagents for DNA and RNA workflows. We can customize test quickly. We offer hope to share solutions for a wide variety of applications, and we are well positioned to capture the market share moving forward.  Moving to biopharma. We reported $6.6 million in revenue and $7.8 million in order, a great quarter. We announced partnership with Medisix and Kriya. In the second quarter, we added 5 new partners or with Biopharma with 47 partners in total. We initiated 5 new programs with 47 IT programs ongoing at the end of the second quarter. We completed 21 programs during the quarter for a total of 60 completed programs or Swiss biopharma.  Of our 17 total active and cobble programs, 2 as milestones and our royalties. I'd like to note that several of our new partners are focused on optimization projects, which typically do not include milestones and our royalties. However, there are very good gateway projects that allow our biopharma team to demonstrate their [indiscernible] and can lead to larger agreements.  Swiss Boston, as soon as Veris, has 8 projects underway, which, as a reminder, our fee-for-service and typically takes 3 to 6 months to complete. During the second quarter, Twist Boston signed 9 new partnerships accounting for 56 new discovery projects, and we continue to be impressed with the team.  We added 2 new BCAN machines in Boston. And as a reminder, the Boston team is a power user of the BCAN, which reduces the cycle time and increased capacity, enabling significant revenue per machine.  Turning to data storage. You will recall that in December, we demonstrated the synthesis on a 1 micron pitch array. Now we have a fully integrated sealers with electronic control at 1 macron pitch. The next step is to debug the system to achieve Catesis up to 1 gigabyte of data in a single run. And we remain encouraged by the technical progress that we are making as DNA synthesis on this chip will translate into an aerial density capability of 100 million oligos per square centimeter is an entity that is significantly higher than any competitor.  We expect this chip one functioning at production scale to enable limited early access customer engagements, and we look forward to sharing details in the near future.  In parallel, we continue to work on the design of our next chip, [indiscernible] alpha, which will enable cost density inflection point that we believe will accelerate growth in early access markets. As we previously said, we expect our first offering to be a century archive solution where customers can total for 100 years or more without migration, maintenance or energy.  As the technology matures and increasing automation can be realized, we expect to introduce an accessible archive solution targeted towards data center environment. With the technology moving forward, we are building the ecosystem and relationships that we believe will serve Twist well as we enter the market.  In February, we became a supporter of the Digital Preservation Coalition, a membership-based organization enabling its customers to deliver resilient long-term access to digital content and services. Engaging with the digital provision coalition provides access to archivists with precious data store and will help us navigate this important initial market.  In addition, in April, we announced that we are now a voting member of the Storage Networking Industry Association, known as SNIA. SNIA is made up of member companies spanning the storage market and is globally recognized as lean trusted authority for storage leadership, standouts and technology expertise. We are already engaged as an active member of the organization and believe our involvement will be critical to our ecosystem activities and will help inform our product road map.  Finally, the DNA Data Storage Alliance is gaining momentum, as evidenced by over 150 member organizations at this time. The ecosystem is building nicely, and it's come a long way from the 4 founding companies in just 18 months. I'd like to point out that in every aspect of our approach to data storage, we have built novel technologies and expanded our engineering sophistication. We have augmented our team with experts from the data storage field, and we remain committed to introducing our initial solution at the right time.  [indiscernible] a very like large market opportunities spanning from individual and small businesses to enterprise and, ultimately, hyperscale customers, all seeking to address their anticipated archive storage needs. We believe the early access market for data storage include media and entertainment, digital preservation, health care as well as big science, and we are building those relationships today.  On the ESG front, S&P Global recently issued a report in Twist, which we encourage you to review. It evaluates Twist not only from a single point in time that takes into consideration our ongoing activities. As a reminder, we released our inaugural ESG report in January and encourage you to review it to glean a better understanding of our culture and sustainability initiatives, which are so important to do work within at Twist.  And now I'd like to turn it over to Jim to review our financials.
James Thorburn: All right. Thank you, Emily. We have another good quarter at Twist. Revenue was $48.1 million, sequential growth of 15% and year-over-year growth of 54%. Orders were $55 million, a sequential increase of 11% and 32% year-over-year. And our gross margin for the second quarter was 38.3%.  We shipped to approximately 2,000 customers for the quarter, growing from approximately 1,800 in the first quarter of fiscal '22, and we ended the quarter with cash and investments of approximately $604 million.  Now I'll provide more color on orders. NGS orders for the second quarter were $23.6 million, which is an increase of 27% year-over-year and up sequentially from $21.8 million. And during the quarter, we received orders from approximately 750 NGS customers. And the top 10 accounts placed orders of approximately $8 million, confirming that we're seeing continued diversification of our customer footprint.  Our pipeline for larger opportunities continues to scale. We are now tracking 231 accounts, up from 225 noted in our last earnings call, and 104 have adopted Twist an increase from 96% last quarter.  Now turning to synbio. We saw robust growth in our Synbio orders, which includes genes, DNA preps, IgG, libraries and oligo pools, which rose to $23.6 million in the second quarter. That is sequential growth of approximately 6% and year-over-year growth of 16%.  The major contributors to growth this quarter include health care and industrial chemicals.  Now to biopharma. We continue to scale our biopharma business as orders rose to $7.8 million for the second quarter, and that includes Twist Boston, and up from $5.6 million in quarter 1 and $2.6 million in the second quarter of last year. As Emily mentioned, for our Twist Biopharma antibody platform, we have 47 partners with 47 active programs and 52 milestone and royalty programs.  Before moving to revenue, please note orders may not translate into revenue, but will provide a trend line for each product group. NGS product revenue was $23.1 million in the second quarter, a 36% growth year-over-year and sequential growth of 20%. This brings our first half fiscal '22 revenue to $42.3 million from NGS. With the continued growth in our pipeline and bookings, we believe we're well positioned to achieve our NGS revenue guidance of $94 million to $96 million for fiscal '22. And in quarter 2, the top 10 accounts accounted for approximately 33% of our revenue.  Our Synbio product revenue for the quarter was approximately $18.4, a 3% sequential increase and a 42% increase year-over-year. Some of the highlights include shipping to approximately 1,400 SynBio customers, and that's up from 1330 in the last quarter. Genes revenue was $14.2 million, up from $13.5 million in the first quarter and $9 million in the second quarter of fiscal '21.  We shipped approximately 124,000 genes in the quarter. Now to biopharma, our revenue for the quarter was approximately $6.6 million as compared to $1.3 million in the second quarter of fiscal '21, and we serve 79 customers, including 55 through Twist Boston.  In terms of revenue breakdown by industry. Health care in quarter 2 was $24.1 million, up from $16.6 million in the second quarter of fiscal '21. Industrial Chemical revenue is $14.1 million versus $8.7 million in the second quarter of fiscal '21. Even though we're operating in a pandemic, many academic labs were impacted globally. Our academic revenue was $9.5 million versus $5.6 million in the second quarter of fiscal '21, reflecting our continued focus on growing the long tail of the market.  I will now briefly cover our regional progress for fiscal '22. Our investment in building out our global commercial organization is reflected in strong international growth. EMEA second quarter revenue was $15.2 million versus $10 million in the second quarter of fiscal '21. APAC continues to deliver strong growth, with revenue increasing to $4.5 million, up from $2.7 million in the second quarter of fiscal '21. In the U.S., including Americas, revenue was $28.5 million for the second quarter versus $18.6 million for the same period of fiscal '21.  Now moving down the P&L. Our gross margin for the quarter was approximately $18.5 million or 38.3% of revenue as compared to 35.5% in quarter 1 fiscal '22.  Now to operating expense. Our Q2 operating expense, which includes R&D, SG&A and change in fair value and mark-to-market adjustments of acquisitions, was approximately $79.2 million as compared to $70.9 million in the first fiscal quarter of '22.  To break it down further, R&D for the quarter was $31.2 million, an increase from $22.6 million in quarter 1, primarily due to increased spend associated with biopharma, including Ambers and Revolo, IgG and data storage. SG&A in the second quarter was $54 million as compared to $51 million in the first quarter. And the increase is due to approximately $3 million of stock-based comp.  Start-up costs for the Factory of The future in G&A or $2 million, including facility lease expense of approximately $1.1 million. Change in fair value of contingent considerations and indemnity holdbacks for the quarter resulted in a gain of $6 million versus a gain of $2.8 million in quarter 1. Stock-based compensation for the quarter was $22.2 million. Depreciation was $2.5 million for the second quarter, and amortization was $1.5 million, primarily associated with acquisition amortization of intangibles.  Our net loss before tax was approximately $60.8 million as compared to $56 million for quarter 1, primarily due to increased investment in R&D and higher stock-based compensation, offset by higher gross margin.  CapEx for the quarter was $22 million, mostly associated with our Factory of the Future investment. Given the global supply chain challenges, we have strategically increased our inventory to $45 million compared to $40 million at the end of quarter 1.  I'll now provide updated financial guidance for fiscal 2022. We enjoyed strong bookings in quarter 2. Our customer base continues to expand, and our Twist Boston team that joined us through the acquisition of is doing very well. We negotiated in our 4-year contract with Ginkgo, and we're optimistic about opportunities and at the same time, more SARS-CoV-2 variants continue to emerge.  For the year, we're increasing our revenue guidance, which is now expected to be in the range of $191 million to $199 million, up from the previous guidance range of $189 million to $198 million. Mile revenue is estimated to be approximately 71% to 73%, and that's up from previous guidance of $70 million to $72 million.  NGS revenue is estimated to be in the range of $94 million to $96 million, consistent with our previous guidance. Biopharma revenue, including Twist Boston, is estimated to be in the range of approximately $26 million to $30 million.  Our gross margin for the year is projected to be approximately 37%, which reflects costs associated with our Portland ramp-up for our Factory of the Future. Operating expenses, which includes R&D, SG&A and mark-to-market adjustments are expected to be approximately $335 million for the year, including $130 million in R&D expenses, as we previously guided, including approximately $40 million of D&A data storage spend.  Mark-to-market adjustments for the year is projected to be $9 million favorable. Our net loss guidance before taxes for the year will be approximately $260 million to $265 million, which includes stock-based compensation of close to $85 million. And this is an increase from our last projection of $74 million.  Depreciation is projected to be $13 million. Amortization of intangibles projected to be $5 million, reflecting the cost of amortizing and Veresen intangibles. Projected CapEx for fiscal '22 is expected to be in the range of $90 million to $100 million associated with increased investment in our biopharma business.  We ended the quarter with approximately $604 million in cash and investments on the balance sheet.  We'd like to thank all our investors for their recent support. We believe fiscal year '22 is the high watermark for cash usage. And as we continue to execute, we believe we have the cash runway to achieve adjusted EBITDA breakeven for the core business at $300 million revenue per year.  And with that, I'll turn the call back to Emily.
Emily Leproust: Thank you, Jim. As we move through the second half of our fiscal year, we intend to continue to focus on execution and revenue generation while pursuing opportunities to disrupt markets. We will also focus on contrary expenses and driving through our profitability for the core business.  In July, we expect to begin our production qualification in the Factory of the Future, an exciting and important step to serve our customers as well as tap into the DNA makers market, and we remain focused on reducing overall turnaround time, especially for genes, while exploring new product offerings.  For NGS, we expect a strong second half driven by continued customer growth and commercial execution. We expect to add more tools that enable our customers to perform groundbreaking research while we leverage our sales team to expand our market share and on the market between the sample and the sequencer, particularly in the area of liquids, MRB and RNA.  In biopharma, we will continue to add partnerships and programs and move up the value chain, both for our service offerings and for our internally generated antibodies. In addition, we are planning an integrated portfolio of antibody discovery and optimization offerings as we integrate the Twist Boston team with our biopharma group.  The combined solution truly differentiates Twist from the rest of the pack, and we look forward to cross-selling as well as broadening our reach as soon as the earnout is achieved.  In data storage, we have a road map to reach terabyte scale. We have our first fully integrated CMOS chip with electronic control in-house and are actively developing the system to achieve synthesis up to 1 gigabyte of data in a single run. We believe we will be able to generate initial revenue from these [indiscernible] fully optimized through a central archive solution.  In parallel, we are working on the Alpha chip and increasing the density per square centimeter to drive down the cost significantly with an eye to have an accessible archive solution.  With that, let's open the call for questions. Operator?
Operator: [Operator Instructions]. Our first question comes from Matthew Sykes with Goldman Sachs.
Matthew Sykes: Maybe the first one just on SynBio and a bit longer term, but how should we think about the fact of the future coming online next year in terms of accelerating that SynBio growth? Are there certain capacity constraints that you're dealing with right now that can be alleviated or the speed of the turnaround time, either one of those factors could help accelerate that SymBio growth as we look into '23.
Emily Leproust: Very much, Matt. That's a great question. So we do not have today capacity issues. We have extended a little bit of capacity in [indiscernible]. So when the first demand we're able to catch it. And we -- the Factory of the Future will have even more capacity. So as we are successful in grabbing market share, we'll continue to, whenever the others are there, be able to test them and produce them.  In addition to that, I'd like to suggest in your question, the fact that we have -- we will have a faster turn on time will give us an opportunity to really expand into new markets where we don't really serve today and at a market that is very time sensitive. And especially in the makers market, we believe there is a significant portion of that maker market, at least times that we'll be able to convert.  So again, 2 objectives for the Factory of the Future in Synbio. One is, as we are more successful, take more market share, continue to make sure we have the capacity, and two, expand into the rapid engine market.  I will add, in addition to that, we have a robust road map of products we want to launch around GMP DNA, around protein, around RNA. They all start from making DNA. And so the fact of the future will also be a great foundation for us to expand into those additional markets.
Matthew Sykes: Great. And then just a second question on biopharma. Assuming you're generating gross margin on the upfront fees and the fee for service. Therefore, should we really look at in terms of initial success of this program, adding just more and more programs.  Obviously, the larger economic work comes with the commercial success of the drug and the royalties. But how should we think about sort of your building of the initial programs and the potential revenue growth rate of those programs as they add?
Emily Leproust: Yes. So we are very much focused on the upfront first. As you mentioned, there is some good margin there, and that enables us to pay the bill. So we're definitely not subsidizing anybody else's drug discovery. And so if we just get upfront tenant, it's great, and we've guided a significant revenue growth this year just on the upfront.  But in addition to that, indeed, we are accumulating stacking up a bunch of masons or royalties, which should provide some significant economic return in the future. However, because those are difficult to anticipate in terms of exact timing and amount. At this point, we are not guiding on those. And so any masonry we would get above and beyond upfront payments would be upside.
Operator: Next question comes from Luke Sergott with Barclays.
Luke Sergott: Can you just update us on what your cash burn was on an organic basis ex the raise? Just trying to get a sense there of how you guys are thinking about that through the rest of the year.
James Thorburn: Yes. So for the total year, you to step back and look at the loss we're projecting. Loss is about $260 million. That does include approximately $84 million for stock-based comp. It does include about $13 million for depreciation. And then for amortizations is $5 million for amortization.  In terms of CapEx, we're projecting approximately $90 million to $100 million for CapEx. So that should help you frame the cash burn. So if you step back and look at that, it's approximately around about $260 million for the year.  I mean, obviously, a good chunk of that is being invested in ramping up R&D for biopharma, reinvesting in the core business. We're investing about $40 million into storage. And obviously, for overall CapEx, the bulk of the CapEx investment, approximately $75 million of the $100 million this year is for Factory of the Future.
Luke Sergott: All right. That's great. That's helpful. On the Factory of the Future, you're talking about the breakeven for your base business at $300 million. Can you give us the assumptions by segment from a revenue and margin perspective?
James Thorburn: Yes. I mean overall, we're forecasting approximately 50-50 split between NGS and Bio, and we're targeting gross margin about 50% to 52%.
Luke Sergott: Okay. All right. And then last one for me on the Twist high-throughput antibody production or the swap program. How integrated is that with the TAO. And on the new customers into that program, how many are new to Twist customers versus just coming from the TAO program?
Emily Leproust: Yes. Thanks, Luke, for the question. So it's two different products than -- so what you're describing, one is TAO, where someone comes to us where they have an antibody. And using TAO, we'll design more sequences, make more sequence and make those variants in-house, screen them in-house, and then give them an answer for better [indiscernible] whichever, improvement they want could be improvement in expression, improvement in binding, whatever. And so that is basically a service.  The new products we've launched, which is an antibody synthesis offering, customers go on the website, they choose which variant and they want, then they upload those in. We just synthesize them, and then the customer will do all the work of screening out for the function they want. So in -- basically itself very similar purpose. It is very complementary.  But in one case, with TAO, Twist does all the work. And with the case of synthesis from the website and the customer does all the work. So in the end, it's all the same customers that we are reaching out, but we're trying to offer them a broad [indiscernible] as possible.  If you want to do the work yourself, go on the website, help yourself. No problem. If you don't have enough capacity, we think we have an advantage in being faster. Let us do TAO and we'll do the work thing for you as a service.
Operator: Our next question comes from Rachel Vatnsdal with JPMorgan.
Casey Woodring: This is Casey Woodring on for Rachel. First one, how should we model the cadence of gross margins following the opening of the factory, the future understanding that there's going to be some underutilized capacity at the open? How long will it take to ramp to those gross margins that you just called out the 52%? And then again, when do you think you can get to 60% gross margin for the total company?
James Thorburn: Yes. So in terms of modeling our gross margins for this year, gross margin guidance we give is 37%. We will give updated guidance for next year as we continue to ramp the Factory of the Future.  I mean overall, we're targeting for a factory future $300 million revenue, about 50%, 52% gross margin, adjusted EBITDA breakeven. And that's for the core business, and that's for NGS and synbio. As we continue to scale towards $500 million, we're projecting gross margins in the range of 55% to 60%. And that's based on a 50-50 split in terms of revenue between synbio and NGS.
Casey Woodring: Okay. And then you've previously mentioned for enzymatic that the error rates there will be equal or lower to that of the standard chemical approach. So I'm just wondering what are the technical milestones that you'll need to hit to achieve that? And then what is ultimately giving you confidence that you can meet or beat those error rates?
Emily Leproust: That's a great question. There's a few things that we're trying to optimize. Error rate is definitely one of them and [indiscernible] rate is the length of the DNA. Another parameter that we want to optimize as well is the speed of the different reaction steps. And then last but not least, and probably most important is the overall cost of the reactions to synthesize and oligo. So it's a multivariable optimization.  In terms of the milestones, we have to optimize the enzymes. We have to optimize the linkers and the buffer for the chemistry and the debulking. Today, there's a lot of factors and to really help us in optimizing all of those factors, we've developed an NGS-based platform. And so that NGS-based platform is greatly accelerating the speed at which we can try all of those different conditions.  So instead of testing one commission, one return at the same time, we're able to test thousands or even hundreds of thousands of different mutants. And so right now, we are cranking the -- cranking through all those through all the experiments to optimize the commission.  So absolutely, you're correct that the error rate and length is important, but so to the speed of the reactions as well as the overall cost. And we are quite encouraged with our progress so far. And of note, a few weeks ago, our first patent that published. And it's that bananas the one of the avenues that we're following to get a very innovative link that provides a scarless DNA at a very low cost.
Operator: Our next question comes from Puneet Souda with SVB Securities.
Unidentified Analyst: Have Michael on for Puneet. I just wanted to ask one quick question regarding pricing. So obviously, it's an important lever for Twist. But with the inflationary environment, we were wondering if you could get any thoughts on how you're thinking about potential price list.
Emily Leproust: That's a great question. [indiscernible] topic that we spend a lot of time on. We -- at this -- historically, we have been the high-quality price leader, and that has been selling us really well in making sure that we are growing faster than the market. And so we are looking at all the opportunities to differentiate ourselves.  So one is the price. There is a throughput that we have -- is the user experience that we provide. At the same time, we are seeing price increases all around. Fortunately, our variable contribution -- variable cost is where -- it's quite small, as you know. That's one of the advantages that we have. So when our own supplier increased prices the effect is mitigated, but we also understand that a great way to boost revenue and boost margin is to raise prices.  So we are definitely still in the market looking at what we can do. And our goal is definitely to deliver continued revenue growth, margin growth, market share growth, and pricing is a key element of that. So I can assure you that we're spending a lot of time on it.
Unidentified Analyst: Got it. And then when it comes to liquid biopsy, I was wondering if you could provide any updates on the number of customers you're serving and how much you see liquid biopsy contributing to the overall NGS guide?
James Thorburn: Yes. So overall, as a highlight in the pipeline of our overall larger NGS customers continues to scale, number of adults that increase in terms of liquid biopsy. Approximately, we're tracking about 20 key liquid biopsy customers. And I mean we've obviously been adopted in a number of their tests. So as their test volume increases, our volume increase.  But what's exciting for us is just a huge opportunity we see in NGS based on the value of our product. And in terms of guidance for this year, we've always said the second half is a bit stronger, and we feel good about we're positioned for the $94 million to $96 million for -- and you saw our bookings increase sequentially this last quarter. So the pipeline increased sequentially. And the number of liquid biopsy customers we're tracking, as I said earlier, about 20.
Operator: Our next question comes from Catherine Schulte with Baird.
Thomas Peterson: This is Tom on for Catherine. Maybe I wanted to touch on academic markets. Jim, I think you touched on in your prepared remarks, but any impact from Omicron in the quarter? And how are research activities -- activity levels trending? And kind of what are your expectations here for the remainder of the year?
James Thorburn: It's a good question. The quarter was interesting. It started off actually from an ordering point of view, January was very -- was low. However, as we saw the quarter proceed activity picked up in February, and we had a really strong March.  Overall, from an academic point of view, we continue to add a number of customers overall to the business, but also academic has held up extremely well. And in terms of outlook, as we expand our portfolio and as we continue to expand the customer base, we believe that we're well positioned to continue growing aggressively in this space, particularly when the Factory of the Future comes on, we'll be able to offer a much faster turnaround time. And that really addresses the long to of the market, the $1.4 billion opportunity, and we will start seeing revenue from Factory of the Future in January next year.
Thomas Peterson: Okay. Great. That's helpful. And then switching over to biopharma, are you still expecting Revlar to submit an IND for its COVID antibody in the first half of this calendar year?
Emily Leproust: Yes. Thank you for the question. We -- Revlar is an independent company. So we let them make their own announcement. But the objective of submitting for IND in the first half of this year is still the objective.
Operator: Our next question comes from Matt Larew with William Blair.
Matthew Larew: Just from the time that the fact the future sort of opens in July when you start shipping in January of '23. So what are the key steps and hurdles that you need to clear from a validation, quality control standpoint?
Emily Leproust: Great question. So we're following the classic and the industrial steps of IQ, OQ, PQ. So IQ is an inpatient qualification. So you can think of it is the instrument plugged. OQ is operational clarification. And so that is, is the robot moving the way you expect it to move. And then PQ is performing -- performance qualification, do you get the DNA that you expect out of it.  So that's the broad framework that we follow. It's a lot more complicated because it's a system. And so there are multiple pieces equipment with very sophisticated software to track all the orders and direct the flow of orders through the different instrument. But basically, that's the framework.  We are very experienced in doing it. We have moved the fab within the Bay Area multiple times. So that's something that we've done. Most of time there is an additional complication of one. It's in a different state, but it's only the triple way for engineers. And then two, we also are bringing on board a number of new employees that we have to train, and to help that way today.  We've had a number of twisted in San Francisco that have volunteer to be located and with the initial nucleus of employees in Portland. So those are the metrics, IQ, OQ, QQ, and then hiring of people.  And then once we've done that, the next step is ramping. Ramping up of capacity, ramping down of turnaround time and the number of practice rent increase. And then at some point, it will be ready, and we'll flip a switch on the software that will do load balancing between the different fabs. And so some others will come in and some of them will be treated in first [indiscernible] will be treated in Portland and then we'll be off to the races.
Matthew Larew: Okay. That's great. And on biopharma, you've talked about sort of the conversation with customers becoming easier sort of building a brand. I think in the past you've sort of referenced being the drug discovery of last resort. I'm just curious if given funding dynamics, market dynamics, if that "last resort" or might be happening a little earlier in the process. And given the focus on cash for some small biotechs, how open are you to discussions around the balance between the fee-for-service rate and the downstream economics?
Emily Leproust: That's a great question. So the [indiscernible] of last result is still a great opener for us. And so we're definitely maintaining our leveraging that brand as much as we can. And then as you know and as we've discussed in the past, once people try to is once they've had experience with the speed and quality of the antibodies that they get at the end. The next project, we get the easy stuff and people are willing to pay more.  In terms of our ability or our willingness to be flexible on economic terms, we are very flexible. But there's definitely a red line where any deal has to pay for our cost, so the bare minimum. We are not going to do a deal that's not a gross margin positive. We're not in the business of subsidizing our customers' research.  However, order now, pay later, if we -- if there's an opportunity to be flexible and maybe get more of the downstream economy instead of all upfront. I think we will definitely be flexible and open to negotiation.
Operator: Our next question comes from Vijay Kumar with Evercore ISI.
Unidentified Analyst: This is Alexandra on for Vijay. I just wanted to start on R&D expense. You guys broke out that $40 million for DNA data storage. And I was wondering if we could expect to see revenue contribution this year?
James Thorburn: For DNA data storage, no, we're still in development in DNA-based story as Emily highlighted. So this year and next year is development. We are seeing a lot of interest in the product. The alliance continues to scale. Technology developments going well. The more research we do in the market, particularly archival, we announced the 100-year archival product solution.  So we feel good to [indiscernible] from a development point of view. And over the next few years or next year, we'll be able to give you updates in terms of how we're progressing. But our goal is to monetize data storage as quickly as we can.
Unidentified Analyst: Okay. And if I could just follow up on the alpha chip, could you give some color around that and the cost metric on it as well as when we can expect further generation chip.
Emily Leproust: That's a great question. So we are single that we're in the design of the alpha shift. So that's the first part of the design, production and then debulk cycle. In terms of cost, I think you referred to the cost of storing data. The ultimate goal of the alpha chip would be to be in the terabyte scale. So we'll be able to sell terabytes of storage to our customers.  And we are in the process of doing market discovery in terms of the price that we'll be able to achieve. So I don't want to signal too soon what the price would be. Although what we can say is that we'll definitely be competitive when looking at the total cost of ownership versus technology that are available today.  So today, we are competing for, again, tape, hard drive and flash memory. And when you store that for 100 years, the total cost of ownership increases substantially over time because data needs to be migrated, maintained and energy needs to be spent over that 100-year period. And so with DNA, we have an opportunity to be very competitive against that total cost of ownership. So that is the ZIP code in which we will be for the price of storage terabytes of data.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back to Emily for any closing remarks.
Emily Leproust: Thank you, operator. And thanks for joining us today. We look forward to seeing you -- or at least seeing some of you in person at the UBS conference in New York and the William Blair conference in Chicago and the Goldman Sachs conference in Southern California. Until then, thank you so much for attending today.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.